Operator: (Operator Instructions). Now I will turn your meeting over to Melissa Rose, Senior Vice President of Investor Relations, madam you may begin
Melissa Rose: Good morning and welcome to Magellan's fourth quarter and fiscal 2007 Earnings Call. This is Melissa Rose Senior Vice President of Investor Relations Magellan Health Services and here with me today are Magellan's President and CEO, Rene Lerer; and our Chief Financial Officer, Mark Demilio. They will discuss the financial and operational results of our fourth quarter and year ended December 31, 2007. Also joining us from the beginning of our call is our Chairman of the Board, Steve Shulman. Certain of the statements that will be made during this conference call are forward-looking statements contemplated under the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to known and unknown uncertainties and risks, which could cause actual results to differ materially from those discussed. These forward-looking statements are qualified in their entirety by a complete discussion of the risks as set forth under the caption risk factors in Magellan's annual report on the Form 10-K for the year ended December 31, 2007, which will be filed with the SEC later today. Also please note that in this call we refer to segment profits. A reconciliation of the segment profits to the most directly comparable GAAP financial measures. Please see our Form 10-K for the year ended December 31, 2007, which you will also find on our website magellanhealth.com under investor info. I will turn the call over now to our President and CEO Rene Lerer
Rene Lerer: Good morning everyone and thank you for joining us today. As Miss Melissa stated Steve Shulman is on the phone with us today and before we started and before we went through our financials I wanted to give Steve the opportunity to say a few words, Steve.
Steve Shulman: Thank you Rene and thank you everyone for the opportunity to be on this call today. One thing that I've learnt in dealing with Wall Street over the past three decades is that Wall Street hates two things, uncertainty and bad news, possibly in that order. As you saw from the press release, our operating news continues to be quite excellent. So let me address any uncertainty caused by the communications earlier this week about the succession of Rene replacing me. First, I directed and I'm very supportive of this management change. A number of you appropriately raised concerns about the suddenness and timing of this management change. You also were surprised by the lack of (inaudible) "discussion about succession planning". My feeling is that there can only be one leader in any company. I don't believe in being a lame duck executive and therefore no hints were necessary. This succession was planned since the day Rene and I joined Magellan. As in difficult lookout situations, strong leaders and teams make decisions and then implement them decisively, quickly and surgically. There is no need for a transition period here because there is no transition. This is a seamless hand-off, a passing of the baton to a highly confident, intelligent executive who is infinitely better prepared to handle the tasks and the challenges of becoming a CEO than 99% of the new CEOs in public companies today. He is intimately aware of every issue that Magellan faces today. Rene and I have been partners for over 15 years, and he arrived at Magellan and he hit the beach head at Magellan, so to speak, the same day that I did. The second issue raised by many of you is why now versus six months ago or six months from now? My response is, why not now? I ask that you indulge me for a minute. My definition of success is leaving a company in better shape than I found it. On every measure, I'm leaving Magellan a much stronger company than the one that I found five short years ago. My objectives then were threefold, fix the capital structure of the company; affect an operational workout to maximize efficiencies both financially and from a service perspective; and finally leverage the strength and platform and develop new growth lines of business to become a diversified managed care company. I think that this team, under my leadership achieved these three objectives. Some of you won't have me to kick around any more and I won't name names but you know who you are. I believe I have accomplished this first objective too well, vis-à-vis our strong capital structure. My belief that in a highly inefficient and very, very illiquid debt market, that I leave the company extraordinarily well positioned to be nimble and opportunistic in the marketplace over the near term. The second and third objectives were accomplished as evidenced by strong cash flows of customers and employees and by our diversified revenue sources. We achieved and/or exceeded our earnings expectation every year under my leadership. Therefore, I am leaving my operating responsibilities, remember I will still be Chairman and Rene will have me available to use and abuse at his heart's delight, an incredibly well prepared outstanding executive in Rene and a company that is vastly superior to one that I found. I want to go out on top as they say in sports, especially in boxing, which is quite similar to being a public company CEOs these days. I want to thank all of you for your support of my efforts as Magellan has evidence by the Institutional Investor top CEO award. As I enter into my 'retirement', I look forward to spending some time with my family, over the past 35 years I've had a Saturday and Sunday only between opportunities. Depending on how quickly my wife throws me out of the house, I am certain that I will be interacting with you in the future. Just by way letting you know I really want to turn the company over to Rene, he is the new CEO and therefore later in this call I will not be available for any questions. But I just want to take the opportunity to clear up any concerns you had about mine not being on the call earlier. It really is a seamless, thoughtful passing of baton. So let me take this opportunity to publicly congratulate Rene on his promotion. I know that he is intelligent, passionate will provide Magellan with upgraded leadership in Magellan's next chapter in its successful evolution. Rene congratulations and thank you for everyone who has supported me in the past. Rene?
Rene Lerer: Thanks, Steve and as I said on the last call the Board and I personally deeply appreciate your contributions and your support to Magellan and I personally look forward to continuing to work with you on the Board and in lots of other areas. Thanks very much, Steve. Let's now turn to our financials, 2007 has been a remarkable year with excellent operational performance and sales efforts, which resulted in strong financial results. As we saw in the press release issued this morning. We produced $66.2 million in segment profit in the fourth quarter ended December 31, 2007 resulting in an annual segment profit of $223.3 million. This strong financial performance contributed to strong cash flows for the year, and we ended the year with $353.6 million in unrestricted cash and investments. Overall we produced a solid quarter of earnings which were in line with the guidance we've provided on last quarter's call. The quarterly results included net $5.2 million of favorable prior period care development primarily in our health plan and public sector segments. This development is net of a negative care development of $1.7 million in Radiology Benefits Management that relates to the third quarter. Let me walk you through some of the quarterly highlights by segments starting with the results from our Radiology business. We remain excited about Radiology Benefits Management business. This quarter we have more claims data, which we can use to evaluate our risk contracts and we are becoming increasingly confident that the run rate for this business is running within our expected range. The care for radiology benefits management in the quarter was negatively impacted by $1.7 million negative prior period development related to the third quarter. In addition NIA's quarterly results were affected by contractual adjustments that brought risk revenue down by $2.5 million; $1.3 million of this adjustment related to the third quarter and therefore is not a period adjustment. Our previously reported third quarter MLR was 92.7%, which was inside our estimated ranges for risk contracts but at the lower end. On a combined year-to-date basis, remembering that the risk business essentially began at the beginning of Q3, the MLR is now 96%, which is very close to our initial underwriting estimates. There are several key points I would like to make about the MLR for our Radiology business. First, the third quarter results were preliminary and we stated at the time that they were not certain that they were indicative of the actual run rate of the contract due to the fact that we had only a very few months of complete claims data. Second, now with the benefit of having more complete claims data in hand, we are seeing medical expenses that are trending just above the mid points of our underwriting; we have seen a greater consistency and predictability in claims volume which is now giving us a much greater level of comfort in the data we are using. Third, when you adjust prior period adjustments into the correct quarters the third quarter MLR was 98.6% and the fourth quarter MLR came down 94.8%, part of this improvement is the reserve buildup that was occurring in the third quarter and is tapering off in the fourth quarter. The adjusted pro forma segment profit would have $2.3 million in the third quarter and $5 million in the fourth quarter, which demonstrates a favorable progression of segment profit. Fourth, we are comfortable with the medical expenses we're seeing and we are not changing our 2008 guidance. Since we viewed the third quarter results as preliminary and we were not certain of the ultimate run-rate, we built our 2008 guidance for NIA based on our underwriting models rather than the third-quarter results. And again, our current run rate is consistent with underwriting models in the 2008 guidance. Finally, one additional item to note is that, in our guidance call, we had indicated that the annualized Empire revenue was increasing to $150 million from $130 million annualized in 2007. Primarily due to a rate increase effective in January of 2008, which means that, when we report next quarter's results, our MLR will reflect the beneficial impact from this rate increase. This benefit will be partially offset however by typical intra-period trends and seasonality. Let me reemphasize that we remain comfortable with the medical expense that we are seeing in NIA. Now that we have more complete claims data, we are seeing results that are in line with both our underwriting expectations and our '08 guidance. We're happy with the progression of that business quarter-over-quarter and continue to be comfortable with our guidance. Operationally, our contract implementations continue to proceed well, as of December we had implemented 11 of our 15 CIGNA markets. In February, we implemented an additional market, and we expect to implement another market in Q2 with the implementation dates for the last two smaller primarily ASM markets still under discussion. Our Empire Radiology contract has continued to run very smoothly since its conversion to risk-based contracts. As we said last quarter, now that the implementations for these two large contracts are well underway, we have increased our marketing efforts and are actively pursuing new radiology management business for 2008. We are in discussion with several health plans and we are pleased with the level of activity and interest. Moving now to our Behavioral business, the Maricopa contract, which went live on September 1, has remained on track. Membership has continued to grow slightly with the fourth quarter run rate at approximately $590 million in annualized revenue, which is in line with our expectations. While the initial implementation, which was focused on getting services up and running, is complete, we will continue to have extensive and involving work over the next years to achieve the states goals as laid out in the RFP. Most notably, we'll be working to transition the clinics that we purchased for value options into the provider network organizations or PNOs. Overall, the contracting is running well both operationally as a financially and we remain pleased with their performance on this significant account. Other news in our Behavioral business, since our last call included the state of Tennessee's release of RFPs through integrated medical and behavioral bids to the east and west regions. Key dates related to the bid are as follows; the proposals for both regions are due in March. We expect award announcements to occur in April. The current plan is for the west region to be implemented on November 1, and the east region to start on January 1, 2009. We have partnered with Coventry Health Care on both of these regions. As you may recall, Coventry bid on the middle region of Tennessee, while they did not win in the middle region, they were very competitive. We believe that they are a strong partner and they are on combined basis, we will have an excellent opportunity to win business in Tennessee. We have worked very well and collaboratively with our Coventry partners, which give us comfort as we are about to submit our RFP responses. Revenues for our current TennCare contracts equal approximately $280 million, which includes approximately $19 million that we continue to manage for certain populations in the middle region. The remaining $261 million represents the revenue for the east and west regions. Approximately $20 million of this revenue pertains to certain children's categories in the east and the west regions, similar to those that have continued to be carved-out to Magellan in the middle region. It is our belief based on the RFP that these lives are not include in the RFP that has been released. While we have not received official notification of the states plans for these lives, we are hopeful that we will continue to serve them on a permanent basis similar to the corresponding lives in the middle region. As we've mentioned in the past in spite our optimism associated with our Coventry partners, our best case scenario winning in both regions would still result in a significant decrease in revenue for us. Since we expect two winners per region each sharing roughly about the population. Our health plan segment has continued the strong financial performance that has been producing all year. Our care trends continue to run in the 5% to 7% range this quarters results were favorably impacted by $3 million of prior period development. I will now turn to Specialty Pharmacy for few minutes. Fourth quarter results were stable relative to the third quarter and our fourth quarter results were in line with our expectations and guidance. As we've stated in the past we've been aggressively working to adjust our strategy and taxes for growing this business, which includes going back to the routes of ICORE's historical success and focusing on the rebate market. As we said last quarter we've increased our sales resources in all three lines of ICORE's businesses as well as included additionally senior management talent to focus on ongoing product development and innovation. This includes significantly reducing the operational responsibilities of key executives in all areas so that they can focus on business development. Our sales efforts in ICORE are showing positive signs in rebates, distribution and consulting. We are confident that ICORE will begin growing again in 2008. I will now turn the call over to our CFO, Mark Demilio; who will walk through additional details on the financial results. Mark?
Mark Demilio: Thank you Rene, good morning everyone. As indicated in the press release issued this morning, our segment profit for the year is $223.3 million. As Melissa stated earlier, segment profit is disclosed and defined in our quarterly reports on Form 10-Q and our annual reports on Form 10-K and is equal to net revenues less cost of care and cost of goods sold, direct service cost and other operating expenses excluding stock compensation expense, plus equity and earnings of unconsolidated subsidiaries. Included in the tables for our press release issued this morning and to be included in our Form 10-K to be filed later today, is the reconciliation from segment profits in the line item, income from continuing operations before income taxes and minority interest. We encourage you to review such reconciliation for an understanding of how segment profit compares to that GAAP measure. Revenues in the fourth quarter of 2007 were $658 million compared to $461.3 million for the quarter ended December 31 2006. The revenue increase resulted primarily from new business added since the prior year quarter, up $236.6 million including the conversion of a Radiology Benefits Management ASO contract to risk basis effective July 01, 2007, and the start up of the CIGNA risk radiology contract and the Maricopa County behavioral health contract. Favorable rate changes of $9.6 million also contributed to this increase, as well as same store membership increases of $12.9 million and other net increases of $2 million. These increases were partially offset by the loss of membership due to contract terminations of $64.4 million. Net income for the fourth quarter of 2007 was $31.3 million or $0.78 per share on a diluted basis. For the fourth quarter of 2006 the company's net income was 22.5 million or $0.58 per share on a diluted basis. Segment profit was $66.2 million for the fourth quarter compared to $62.3 million for the fourth quarter of 2006. Segment profit for the health plan segment decreased by $3.1 million from the prior fourth quarter. This decrease is mainly due to contract terminations of $7.9 million, favorable contractual settlements recorded in 2006 of $5.1 million and care trends of $3.5 million, which decreases were partially offset by the net favorable impact of care development between the quarters of $5 million, which includes favorable development recorded in the current quarter of $3.0 million, as Rene stated. In addition to favorable rate changes of $6.5 million and other net increases of $1.9 million. Current-year fourth-quarter segment profit for the Employer segment is $8.5 million, which is $800,000 better than the prior year, mainly due to favorable care development in the current year, new contracts implemented after or during 2006 and the impact of same-store growth, which increases were partially offset by terminated contracts. Segment profit for the public sector segment in $2.5 million greater than prior year fourth quarter, this increase is mainly due to new contracts, implemented after or during 2006 of $4.4 million and the net favorable impact of care development between the quarters of $6.6 million, including the net impact of favorable care development recorded in the current year quarter up $3.6 million, which increases were partially offset by the impact of decreased membership from the TennCare Middle Grand Region and other membership decreases of 4.0 million and unfavorable care trends and other net decreases of $4.5 million. Fourth quarter 2007 segment profits for the Radiology Benefits Management segment increased by $1.7 million from the fourth quarter of 2006. Mainly due to the impact of the new risk contracts, which were partially offset by the unfavorable prior period care development recorded in the current quarter of $1.7 million and the unfavorable prior period risk revenue adjustments recorded in the current year quarter of $1.3 million that Rene explained earlier. As Rene stated, these prior period adjustments to care and revenue both relate to the third quarter and without these items the fourth quarter segment profit for radiology benefits management would have been $5.0 million. While, unfavorable care development is not something we ever like to experience. In this case, it is mostly compensating for what we thought with favorable care trends last quarter. With more claims payment run out this quarter, we now believe that the care is running slightly above the middle of our original range of estimates, rather than at the low end to that range. With four additional months of claims payment experience, we also feel we have a firm grasp now on the turnaround times and the completion factors for claims in this segment. A prior period adjustment to risk revenue relates to a risk share arrangement, we have under one of our risk contracts where the client retains a risk and the benefit with respect to a portion of the unit cost trend. We obtained information during the fourth quarter that allowed us to estimate the amount of benefit that resulted from unit cost improvement and to record this risk share as a reduction of our revenue, of which $1.3 million related to the benefit we had experienced in the third quarter. Of course, due to this contractual provision we did not expect to retain nor did we include in our underwriting any ability to retain this unit cost benefits. Therefore, as Rene explained earlier we are not changing our guidance for 2008 for this segment. Fourth quarter 2007 segment profit for Specialty Pharmaceutical Management was $4.6 million compared to $5.4 million in the prior year quarter, with a decrease mainly being mainly due to lower consulting revenue in the current year quarter. These results were consistent with the guidance we provided at the end of our third quarter. Corporate and administrative costs, excluding stock compensation expense were $2.8 million less than the fourth quarter of 2006, primarily due to net unfavorable one-time adjustments that were recorded in the prior year quarter, mainly as a result of fixed asset disposals. Excluding stock compensation expense total direct service and operating expenses were 14.9% of revenue in the current year quarter compared to 20.7% in last years quarter. This decrease is primarily due to our ability to leverage our operating and corporate infrastructure, as we added additional revenues from the Radiology Benefits Management and Specialty Pharmaceutical Management segments as well as the Maricopa County Contract. In the fourth quarter of 2007 we recognized $7.3 million of stock compensation expenses as compared to $13.0 million in the prior year. The decrease is mainly due to stock options issued to management upon emergence from bankruptcy, which were fully expensed prior to the current year quarter. Depreciation and amortization expense was $16.0 million for the fourth quarter of 2007 compared to $13.8 million in the prior year period. The increase is primarily due to asset additions since the prior year quarter includes some assets related to the Maricopa County Contract. Interest expense was $1.4 million for the fourth quarter of 2007, down slightly from $1.8 million in the fourth quarter of 2006, mainly due to the scheduled debt payments we have made since last year's fourth quarter. Interest income was $6.7 million for the current year quarter, compared to $4.2 million for the prior year quarter and this increase is mainly due to an increase in average invested balances. The effective income tax rate for the year ended December 31, 2007 was 38.3% compared to 42.1% for the prior year. As you know, our effective income tax varies from the federal, statutory income tax rate primarily due to state income taxes and to permanent differences between book and tax income. The effective income tax rate for 2007 is lower than the prior year mainly due to the inclusion in 2006 of tax provision for certain contingencies related to executive compensation expense as well as the reversal in 2007 of a portion of such tax contingencies reserves. Looking forward to 2008, as we stated in the press release, we are confirming our guidance for 2008, which in total was segment profit of $200 million to $220 million and EPS of $1.88 to $2.34 per diluted share. As we stated earlier this week, we will be taking a charge in the first quarter of 2008 related to Steve's transition agreement, which will approximately $4.7 million to segment profit and $6.3 million of stock compensation expense. The net impact of this transition in 2008 will be approximately $2.9 million and $1.4 million to segment profit and stock compensation expense respectively. However, we are maintaining our ranges of guidance for 2008. We will also remind you that our seasonality experience in behavioral health has been that the first half of the year incur higher care than the second half and we expect that seasonality pattern to hold true for radiology as well. In addition, the new business in our guidance for 2008 is primarily expected to be implemented in the second half of the year. Thus, we would expect our results for the first two quarters to be less than the results in the last two quarters, as has been our usual experience. Turning to cash flow and balance sheet highlights. Our cash flow from operations for the year was $194.6 million, which was $2.4 million lower than the prior year. The variance relates primarily to the funding of restricted cash associated with the Company's regulated entities of $54.5 million with the majority associated with the implementation of the Maricopa County contract and other net unfavorable variance of 1.7 million. These decreases in cash flow from operations is partially offset by lower payments in 2007 associated with claims runout for terminated contracts, with prior year and current year runout payments of $26.8 million and $8.8 million respectively. The buildup of net contract liabilities of $22.6 million primarily related to medical claims payable associated with the new risk-based radiology contracts and the current year increased in segment profit and interest income from the prior year of $7 million and $6.2 million respectively. As of December 31, 2007, our unrestricted cash and investments totaled $353.6 million, which balance consists of $312.4 million of unrestricted cash and $41.2 million of unrestricted short-term investments. Approximately $42 million of the total unrestricted cash and investments at December 31, 2007 was held at regulated subsidiaries. Our ending unrestricted cash and investments balance is approximately $30 million higher than the guidance we provided at the end of the third quarter. This favorable variance is due to segment profit, interest income, and cash flows from stock option exercises each being slightly higher than we had forecasted, which items account for approximately $10 million of the variance with the remainder being due to working-capital variances, approximately half of which is due merely to timing and the other half of which is more permanent due to working down some receivables, balances and our Specialty Pharmaceuticals segment, and a higher level of medical claims payable and other contractual liabilities in the Radiology Benefits Management segment. The Company's restricted cash increased by $111.7 million during 2007, with $54.5 million of the increase due to the funding associated with regulated entities as previously discussed. In addition, $42.2 million of the increase in restricted cash is offset by changes in other assets and liabilities, primarily medical claims payable and other medical liabilities, thus having no impact on operating cash flows. Finally, restricted cash was also impacted by the shift of $15 million of the Company's restricted investments to restricted cash, which resulted in an operating cash flow use that is directly offset by an investing cash flow source. As such, this shift in investment did not impact the Company's total cash and investments. You will note an additional line item on our cash flow from financing activities related to the tax benefit from the exercise of stock options. I point this out because in the past, all of our benefit of limited cash taxes was shown on the line item non-cash income tax expense in our cash flow from operations. This year, that benefit is split between that line and the new line item, tax benefit from exercise of stock options, which is in the cash flow from financing activities. Our cash taxes remained approximately the same as in the prior year. The only difference was in the type of items that caused us to pay less cash taxes. We estimate that our NOLs as of December 31, 2007 were approximately $236.1 million. As of December 31st, total debt was $14 million. The total debt consists of $12.5 million of term loans under our credit facility and $1.5 million of capital lease obligations. As you know, our current credit agreement expires on August 31, 2008, we believe that we will be able to refinance to obtain new credit facilities or if not, to use cash-on-hand to fund our letters of credit and other liquidity needs. At this point, I'd like to turn the call back over to our CEO, Rene Lerer. Rene?
Rene Lerer: Thank you, Mark. As we close 2007, I have to say that it was truly an incredible year. We won and implemented the Maricopa account, which on it's was a major achievement. We implemented our first two risk contracts in NIA, which will total nearly $300 million in new business. In total, these three new contracts represent nearly $900 million in revenue. The successful operational implementation of all three of these contracts virtually simultaneously is an accomplishment that is hard to fully appreciate. Hundreds of employees invested a tremendous amount of hard work for an extended period of time, and the quality of their effort has ultimately been demonstrated in a smooth and successful implementations. In addition to the implementation of these new accounts, we successfully operated our behavioral health business in all areas with great new success and results. I am very proud of our team and what we've accomplish this year. In 2008, we continue to build on the momentum we've started. Our priorities are to generate growth in each of our business lines and continue to execute well on our existing business. Furthermore, in my new role, I will be taking some time to reflect on the organization. It's always important to step back and reflect on the strategy that has been set and the tactics that have been employed. I have been very involved as Steve mentioned in the call earlier, in the direction that Magellan has taken over the years. So as I said on my last call, it is not my expectation to make swiping changes, instead, I'll be considering the next steps in the evolution of this great company. It is my expectation that sound acquisitions will remain a fundamental component of our growth strategy. The recently announced strengthening of our M&A group is a reflection of our commitment to the strategy. We will continue to look at future acquisition opportunities that would add to our competitive strength in areas of health care where we currently operate. These types of acquisitions we made our first preference. In addition, we will continue to look for new areas of health care that would add new products to our current offerings. Over the long-term, we believe the strategy of expanding in our existing markets, supplementing our current markets with additional skills to improve our results and growth opportunities, and moving into new markets will create significant shareholder value. The Board has been very supportive of this strategy and firmly believes that fortifying and diversifying our platform remains the best long-term strategic use of capital. Given their commitment to this strategy, the Board continues to routinely review the capital deployment strategy of the Company. At the most recent discussion on this topic, the Board has decided not to institute the share repurchase or dividend at this time. It is important to note that this was a unanimous decision by the Board and as members of the board, both Steve and I have consistently agreed with this decision. It is also important to know that the Board has repeatedly stated that it will review its position on this matter on a regular basis, taking into consideration our acquisition opportunities, market conditions and our cash position. Given the current state of the debt markets, the board believes that retaining our cash puts us in an excellent position to strike opportunistically as the right M&A opportunities arises. In closing, I would like to thank everyone for joining us today. I'm honored to be leading this great company and I appreciate your support as we move in to a new year and a new era. 2007 was a great year and everyone here at Magellan is committed to delivering another successful year in 2008. I will now turn the call over to the operator for Q&A. Operator?
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions). Joshua Raskin from Lehman Brothers, your line is open.
Joshua Raskin - Lehman Brothers: Hi. Thanks. Just a couple of quick clarifications. Point one, Mark, I think you said the guidance is unchanged for 2008, but that includes the transition charge in the first quarter. You threw out two segment profit numbers; I just want to see what was the overall impact to segment profit?
Mark Demilio: Hi, Josh. The charge is going to be $4.7 million in the first quarter, but the effect on our guidance that we had previously provided, given the total impact of this transition, given Steve's new role is going to be approximately $2.9 million for the year.
Joshua Raskin - Lehman Brothers: Okay. So simplistically core operations are $2.9 million better, everything else is the same, right?
Rene Lerer: Well, we gave a range of segment profit guidance were same. We're still within that range.
Joshua Raskin - Lehman Brothers: Okay. That's fair enough. Second is just the RBM, if I look at the revenues, they were down sequentially, which is little bit surprising to me and if I calculate sort of a PMPM, it's down a little over 10%. So I'm just curios, even adjusting for the modest contract changes et cetera. what was the reason for the revenue decline?
Rene Lerer: The primary reason, Josh, was the revenue adjustment that we had made, that half of which was tied to the prior quarter. So the $1.3 million that we referred to of revenue adjustment, there was also a similar adjustment in the fourth quarter. So there's approximately $2.5 million related to the catch up of recording that risk share arrangement that I spoke of earlier.
Joshua Raskin - Lehman Brothers: I guess looking at it just saying down $3 million sequentially, it was because was 3Q was $1.5 million high and 4Q was $1.5 million low, is that right?
Rene Lerer: Yes. Actually, yes. $1.3 million to $1.5 million, yes. That's right.
Joshua Raskin - Lehman Brothers: But that's on a higher membership base, so I'm just curious what was going on a sort of a yield perspective?
Rene Lerer: There really wasn't a higher membership base between third quarter and fourth quarter. A very slight addition of some small market in CIGNA, but primarily as of July 1, we had the majority of the CIGNA business in place and we had all of the Empire risk business in place. So there wasn't that much membership change between quarters.
Joshua Raskin - Lehman Brothers: Okay. And then just a last question…
Rene Lerer: Rate adjustments or anything else that was going on in the quarter. So it was primarily that adjustment to that contractual provision that we spoke of earlier.
Joshua Raskin - Lehman Brothers: Okay. I'll try and work through the numbers and maybe follow-up off line. And then just last question for Rene, I guess, I am curios as to, you look at your balance sheet obviously virtually no debt, extremely strong cash position, a company that I think could obviously take on some leverage. And so I'm curious, do you guys -- at the Board level, Rene, obviously, you're on the Board and you've sat in this discussion, does the Board think of share repurchases and acquisitions as sort of mutually exclusive events or have they just thought of repurchases not really adding value.
Rene Lerer: No, not at all. I don't think they're mutually exclusive at all. I think they look at them both in their own merits. I think the perspective of the board is that given the opportunities that we've been seeing and given the change in the debt marketplace out there, that number one at this time until we had a more firmly identified opportunity that made sense to them to retain our cash in this debt market, until we saw where we ended up. There isn't a feeling on the Board that you couldn't do one or both. It's just premature to make that decision.
Joshua Raskin - Lehman Brothers: I guess, sort of, asking it another way. At what level would cash on the balance sheet be sort of so much that you feel comfortable using some of that cash for buyback and still feel like you could do acquisitions, again, in light of the fact that you've got no debt?
Rene Lerer: We have that specific discussion literally at every meeting and the feeling of the Board is rather than take a number and say, when we hit that threshold, we'll then trigger. I think the sense of the Board is rather than do that, it's to review the market conditions each time we have this discussion, evaluate where we stand, what's going on in that acquisition pipeline, what the debt markets look like and make that discussion. So there isn't a formulated approach that would automatically trigger a decision one way or the other. It's something that we would be review on each meetings basis and make the determination based on the circumstances we put on.
Joshua Raskin - Lehman Brothers: Okay. I got you. Thanks, and then congrats, again, Rene.
Rene Lerer: Thank you.
Operator: Darren Miller from Goldman Sachs, your line is open.
Darren Miller - Goldman Sachs: Hi. Good morning. Thank you. Rene, question on the RBM segment. Can you tell me a little bit about that the size of opportunities that you're pursuing there? And then, also, some of the challenges that you faced as you're meeting with health plans and trying to sell them on the risk business?
Rene Lerer: Well, the opportunity obviously is the entire commercial population and actually we begin, we believe and I think we've said this before that ultimately there is opportunity, not just on the commercial business, but on the Medicaid business, and ultimately on the Medicare business. We've done a fair amount of work with CMS in developing criteria for evaluation of appropriateness of procedures, and we have managed on the Medicare side as well through our commercial Medicare HMO business. The size of the opportunity varies by segment, but again, as we've said for a quite some time, 1 million life case generates well in excess of $100 million in earnings for in revenue for us. So the opportunities we look at really are of all sizes. The revenue per life year is quite high, so that our thresholds for the sizes of membership or populations are really very quite broadly. I think the issue for us is as we move a bit, speak to business whether it's ASO converting as Empire did or whether it's de novo business for risk as CIGNA did, it's really understanding in great detail their data and their underwriting. So that we are very comfortable with what the experience has been, where the trends are, and how we can impact those trends in dollar amounts. So, our biggest challenge in any underwritten business is to get a good handle on the underwriting historic data. Next year, we analyze it correctly and then apply the appropriate factors that we believe will then mitigate that trend and bring the cost down, as we did with CIGNA and with Empire. And as we've said during this call over time, once we had the claim experience and enough claim experience, we were pretty close. So we feel very comfortable that ultimately the underwriting is panning out pretty close to what we expected which we are very happy about. So the risk business is one of being patient looking at the data, making appropriate decisions and then demonstrating to the customer the value that we create.
Darren Miller - Goldman Sachs: Great, thank you. And then in the specialty pharma business, it looks like the revenue was up sequentially stronger than what we've seen earlier this year. Is that as you refocused on rebates, is rebates driving that? Or is that some of the distribution revenue finally coming in?
Rene Lerer: It's primarily distribution comes in. Remember, the distribution revenue is much higher than the rebate revenue because the characteristics of that business are quite different. The margins on the distribution side are materially different than they are from the rebate side. So small increments in distribution business have a material impact on the revenue, increments in the rebate business have a much greater impact on the margin. So it's a combination of both, but the bulk of the growth is really on the distribution side for the revenue piece.
Darren Miller - Goldman Sachs: Got it. Thank you.
Operator: Michael Glynn of Credit Suisse, your line is open.
Michael Glynn - Credit Suisse: Thanks. Rene, given the challenges in the Specialty Pharmaceutical Management segment that you have experienced this year, would you avoid making an acquisition in this segment, or would scale help you become more competitive and reach your goals sooner?
Rene Lerer: Again remember that what we've said throughout this call and others is that we are refocusing ICORE to be much more focused on the rebate business with the distribution business as an add-n to rebate as opposed to standalone business. Scaled in the rebate business, we are pretty unique in that business in the way we approach this. So scale is not a significant driver for us. Given that, I wouldn't say that we wouldn't do something in the specialty business, if there was a right opportunity. I think as in our other businesses, we evaluate the opportunities that we are made available, that are made available to us and we become aware of and sort of identify those on a specific basis. Scale isn't the driver for rebates. There are other drivers for that. Relationships with pharmaceuticals manufacturers, with health plan and so on. But again on the acquisition pipeline, we're looking at things that can be supportive and help us grow in any of our businesses.
Michael Glynn - Credit Suisse: Could you make more general comments then about the acquisition pipeline? Or is the lack of action may be expectations for your acquisition targets are still too high? Or you are just waiting for the exact fit to surface?
Rene Lerer: As you know, the markets today are pretty much in a little bit of disarray, given the credit markets and there is a lot of flux in terms of what sellers are thinking about and how their mindsets are changing. I think over the last few months and we expect to see over the next couple of months some significant impacts on what's happening in the M&A marketplace, based on the inability to generate very much debt. So our decisions to do the acquisitions or not do in any acquisitions are really based on a number of factors, which are availability of appropriate targets for us at a price that we feel comfortable with in areas that we think are of greatest value. So the combination of those three factors have not changed, but as the market changes, our perspective on those change and we continue to be aggressive in our pipeline in looking at potential candidates.
Mark Demilio: But it is true that we haven't seeing seller expectations change dramatically as of yet, despite the market conditions but we do think that that could change over time.
Michael Glynn - Credit Suisse: Okay. On a different topic, health plans segment, you have two large contracts that expired at the end of last year. Could you tell us what the total enrollment loss was and if there will be a significant hit to margins or did the long lead time allow you take out some of the fixed costs associated with the larger book of business in '07?
Rene Lerer: I'll let Mark answer. But one of those books of business went away at the end of the first quarter. So much of that is baked into all of our financials for the balance of the year. The other account was WellPoint in New York, which went away in the end of the year.
Michael Glynn - Credit Suisse: Right.
Mark Demilio: And it had generated revenue in the year of about $85.7 million in Massachusetts and then other was Blue Cross Blue Shield of Massachusetts, which was approximately $50 million to $55 million was higher than that $60 million of revenue. So the revenue loss from those two would be in the neighborhood of $150 million. And again, the impact of any margin changes as a result of that, we obviously don't do that margin by account is baked into our guidance for 2008.
Michael Glynn - Credit Suisse: Okay, thank you.
Operator: Doug Simpson from Merrill Lynch, your line is open.
Doug Simpson - Merrill Lynch: Hi, good morning. Rene, could you may be just walk us through and I recognize it's only been a couple of days. But just how do you expect to be spending your time over the next six to nine months and may be just walk through kind of the amount of time you think you're going to have to spend on things like Maricopa, TennCare, and how much is going to be focused more on the strategy kind of review as you mentioned?
Rene Lerer: No problem. As you know, over the past several years, I've spend probably more than half of my time on the support of the business units and the development of operational strength.
Doug Simpson - Merrill Lynch: Right
Rene Lerer: And I think has manifested itself pretty well in our results. During that time, we've built quite a strong team. Our folks were imaging those businesses. So in fact, even though over the several last months I've spend a lot more time on the strategic side of the business, on the development of an M&A strategy, on the looking at the capital deployment issues. So, I've been involved in those issues. And as you know I spent a fair amount of time even with the investors on Wall Street. So my time over the past year has been changing quite a bit compares to what it was several years ago. Again with the management team that we have in place on the business side and on the operational side, they are really very much quite self-sufficient. And although obviously there is an over side quality here between the folks who have been here for quite sometime, much of that team is being here as long as or longer than I have. And with the addition of some players in some of those business units, we're very comfortable and confident that things like Maricopa and Tennessee and the radiology business with the introduction of the new CEO there are really under quite capable hands. So I plan to have quite balanced approach to spend a fair amount of time on the strategic direction of the company on working on the external issues related to strategy as well as continuing to support and play a roll albeit somewhat less so than in the past on the operational and the business units.
Doug Simpson - Merrill Lynch: Okay. And then may be just beyond the announcements that have already been made, are you expecting to make changes in kind of that next level down over the next couple of months or do you think that team will remain relatively in place and unchanged?
Rene Lerer: Again we have the great team, I have a lot of confidence in the folks that are here and I need a little bit more time to sit down and look at how we're structured and organizationally how we're set up to sort of make sure that we're set up in the most efficient manner to deliver what it is that we need to do for the company both from an operations, strategic, financial and so on. So it's a little bit premature for me to say whether I am anticipating change or not, but my comment is essentially I'm very comfortable with the team that we have, we just need to spend some time reevaluating that based on where the business is going.
Doug Simpson - Merrill Lynch: Okay. Thanks.
Rene Lerer: Thank you.
Operator: Scott Fidel of Deutsche Bank, your line is open.
Scott Fidel - Deutsche Bank: Thanks, good morning. First question, just on the public sector favorable reserve development. Could you just maybe spike out which markets you saw driving that, was that Maricopa or TennCare or other markets?
Mark Demilio: We don't break that out by individual contract. There are variances in all of those from time to time and quarter to quarter. There wouldn't be as much from Maricopa of course because it has less history so there is less prior period. But we don't break it out. We see variances in all and then the net numbers what we provide.
Scott Fidel - Deutsche Bank: Okay, fair enough. And the just thinking about the public sector business just in the context of the changing economy, just thought may be since you guys have been in the behavioral business for a long time. Can you talk about how states have historically reacted in terms of behavioral reimbursement, just in terms of tougher economic times, when thinking about the Medicaid business and maybe Rene if you want to touch on that a little bit in terms of what you've seen during our past economic contraction periods?
Rene Lerer: Sure, I mean the issue for us is obviously our focus has been primarily on the behavioral business and the behavioral business obviously during more difficult times, there are often more issues. The issues now relate to some of the what we believe would be significant financial crunches that they state may experience, given the changes in the economy. It's not atypical in the past, although obviously it's not clearly what that means for the future that Medicaid enrollment changes in these time periods if there is any increase in unemployment or changes you may see some of that. But on the other side for the past year as you have seen in other states, there has been a tendency in many states to try and decrease Medicaid enrollment. So there is a real balance here for us. The issues for the states' perspective particularly as it related to Medicaid and behavioral, is to make sure that patients in the behavioral side are being adequately treated and taken care of. So it's not uncommon for us to see and we expect it to continue minimum MLR requirements in this space and the requirement that patients in this space are adequately taken care of. We are quite comfortable in this space, as you know we are the largest managed behavioral health company in the Medicaid space. Our experience is now quite vast, particularly with the addition of Maricopa. So we're very well prepared for any expansion, should that occur. We think, in tough times, states typically look to outsource more often, to delegate risk and to have guaranteed sort of expense profiles. We expect that that might happen over time but we haven't anticipating any of that and obviously we're not banking on any of it in our financials. So as the economy moves over the next six to 12 months, we are prepared for any event that could happen in terms of membership changes or changes in states' perspective in terms of how they view managing this risk.
Scott Fidel - Deutsche Bank: Okay, that's helpful. Then just a question on the negative reserve development and radiology. May be if you could just highlight. Did that come more from a pricing perspective in terms of contracting or utilization or just some of the still building up the structure of the contract?
Mark Demilio: It was primarily utilization. It was primarily the level of claims payment that we were experiencing after only three months of the contract, was less than what we had originally thought. As the claims development occurred and we got more claims in, we were able to get a better hand along the utilization that actually occurred in that quarter. And so it's more in line with, as when I said more in line with our underwriting. So it's primarily yield development or utilization.
Rene Lerer: Our issue in the early days is we didn't have a sense of how quickly the claims would mature and how quickly they would come in. With seven months of experience now, we have a much better sense of what the time is between date of service and claims submission and that allows us to be much more accurate in our approach to reviewing labs. With only two months, three months worth of claims, it was a much more difficult things to predict, particularly when we are talking about as many states as we did and as many different parts of the country. We now have a much better hand on what our expectations are in terms of claims, volumes and timing.
Scott Fidel - Deutsche Bank: Okay, then just a couple of quick questions. Just on the tax rate, the guidance for 2008, it looks like it was lower than our estimate in the fourth quarter. Do you still see sort of 40% or more 38% or the 35% that you saw in the fourth quarter?
Mark Demilio: We still believe it will be 40%, as I stated, that was little lower this year than "normal" because of the reversal of some of those contingency reserves that were recorded in the prior year which made the prior year a little higher than normal. So, we think we are between those two at right around 40%.
Scott Fidel - Deutsche Bank: Okay. And then just one last question, just update on sort of the expected impact to interest income from the changing rate environment? And maybe also two just in terms of the boarder credit markets, just if you can get some color on the composition of the investment portfolio in terms of any exposure that we should be thinking about relative to sort of some of the broader market issues? Thanks.
Mark Demilio: Yeah, we are very comfortable that we've very limited exposure in our investments. We are very conservative in those investments. And consequently, our yields will not be that great. And it's built into our guidance for next year that we would be experiencing low yields. We did not have exposures in what we invested and we look at our investments to make sure that our money market funds and other "safe investments" are not investing in risky things either and we've gotten very comfortable with both levels that we are very safe in our investments. We are paying for it in the lower yields, but would much rather do that.
Scott Fidel - Deutsche Bank: Okay, thank you.
Operator: Our last question comes from Michael Baker of Raymond James, your line is open.
Michael Baker - Raymond James: Thanks. On the M&A front, while I acknowledge that the new product service is kind of secondary. My question is what you're considering in that area still a reflection area of trying to help the small and mid-sized health plan compete with their larger counterparts, in other words finding areas to fill in gaps there or are there other underlying considerations?
Rene Lerer: Well, clearly as you know, in our health plan business both on the radiology side and the behavioral side, we have quite a range of sizes of health plans from national plans like CIGNA to local, regional plans. Our sweet spot we've said historically has always been the more regionally sized plans. So as we look at development of our pipeline in M&A and the kinds of things we're looking at, we routinely interact with our customers at the CEO level, at the Medical Director level, at this financial level to get a sense of where their pressure points are and where they have concerns. So as we go out and look in the marketplace, we do a fairly detailed review of different segments and identify as we've said before those segments where we think are growing differentially, where we think we can have an impact on that growth, on that trend and in an area that we can then demonstrate an improvement and ability to measure that. So we focused really primarily on the mid and the larger size. We do smaller health plans but our sweet spot is really the mid-sized regional health plans that we push. Obviously, that's separate from public sector market where obviously it's driven by states and local communities and that it's a separate focus and separate group that looks at that area.
Michael Baker - Raymond James: And then just one follow-up, as you evaluate those opportunities on the M&A side, could they extend into the information technology area, would that be beyond the scope of the company?
Rene Lerer: Again we are looking at all areas. And as we said before, we are looking at areas that are obviously in the markets we are in today that can supplement the markets that we are in today and that can support our strategy of working with our customers to support their needs. So rather than say that IT or management is in or it isn't, as we look at these businesses if we think there is a value to our customers to do it and it meets our other criteria, then we wouldn't exclude any particular business set.
Michael Baker - Raymond James: Thanks.
Operator: We do have one more question from Carl McDonald of Oppenheimer, your line is open.
Carl McDonald - Oppenheimer & Co.: Thanks. Mark I was wondering if you had a forecast for unrestricted cash balance at the end of 2008.
Mark Demilio: Carl, I don't have a particular number forecast, but the level that we are currently experiencing is probably going to be consistent for the year. The only thing that will change that dramatically would be any other growth and any other new contracts. We believe that the levels that we now have are sufficient for the businesses we now have including Maricopa which has been brought up to restricted cash to the required levels. So there shouldn't be a large variance there other than the variances we normally experience in timing between cash and other assets on those regulated companies balance sheet. But I think we are probably at a pretty steady state other than any new business.
Carl McDonald - Oppenheimer & Co.: Okay. So if I take those comments, I mean if we look at the growth in cash in '07, adjust for some of the one-time stuff Maricopa, as an example, is that a decent looking run rate, again adjusted for Maricopa, some of the contracts in terms of growth in cash?
Mark Demilio: I am not sure I understood. Were you talking about the growth in unrestricted cash, Carl or?
Carl McDonald - Oppenheimer & Co.: Yeah, exactly.
Mark Demilio: Yeah, you have to back out the growth in restricted cash this year. You could back it all out. As I said $55 million of it roughly was due to additional requirements, primarily Maricopa, some of that other increase in restricted cash this year was between cash and other assets. So generally yes, I think you can expect that in your modeling to not have any additional restricted cash requirement.
Carl McDonald - Oppenheimer & Co.: Okay. And then second was any update on a formal Medicare Radiology Management Program?
Rene Lerer: No, I mean we are very involved as I said before in that pilot program that CMS put out in looking at criteria, that's still in development and is still being reviewed. There is lots of discussions in Congress right now, but given the presidential election, not clear what will happen. But we've been involved at every step of the way in trying to have conversations in Washington that would have folks consider different pilots and approaches to management of the radiology expense. As you know, the approach that Washington has taken primarily has been related towards unit cost management and management of reimbursement. And I think there's a sense in Washington that we need to look at not just the unit cost side but appropriate utilization. As you know, there's been lots of discussion recently in the press about utilization of advanced technology, particularly as it relates recently to CT scanning and the implications on radiation exposure. So there's a lot of conversation. There's a lot going on and the interest levels now are not just on the financial side but on the risk side to general healthcare.
Carl McDonald - Oppenheimer & Co.: And the final one is in the radiology business. Enrollment was up 1.4 million sequentially. Based on the earlier comments, it sounds like most of that came in the ASO business with a little bit of addition for CIGNA on the risk side. Was that related to a new contract on the ASO, or was that growth in existing business?
Mark Demilio: There has been growth in existing business, and actually CIGNA themselves has been experiencing risk decline [at ASO] growth, so we've been downstream to that experience with our contacts with them.
Carl McDonald - Oppenheimer & Co.: Got it. Thank you.
Rene Lerer: Thank you. I think that's it for the questions. I appreciate everyone for coming this morning. We are looking forward to a good, great in 2008 and thanks for your support. Thank you.